Rodrigo Barbosa - President and CEO:
Kleber Cardoso - CFO:
Operator: Good morning ladies and gentlemen. Welcome to the First Quarter 2025 Earnings Call. This conference is being recorded and the replay will be available at the company's website at auraminerals.com/investidores. The presentation will also be available for download. This call is also available in Portuguese. To access you can press the globe icon on the lower right side of your zoom screen and then choose to enter the Portuguese room. After that select mute original audio. [Foreign Language] We would like to inform that all attendees will only be listening to the conference during the presentation and then we will start the question and answer section when further instructions will be provided. Before proceeding we would like to clarify that any statements that may be made during this conference call regarding the company's business prospects, operational and financial projections and goals or the beliefs and assumptions of Aura executive board and the current information available to the company. These statements may involve risks and uncertainties as they relate to future events and therefore depend on circumstances that may or may not occur. Investors should be aware of events related to the macroeconomic scenario, the industry and other factors that could cause results to differ materially from those expressed in the respective forward-looking statements. Present at this conference we have Rodrigo Barbosa, President and CEO and Kleber Cardoso, CFO. Now I will turn the conference over to Rodrigo Barbosa. You may begin the conference.
Rodrigo Barbosa: Well, thank you very much for all for participating in this quarter. I'm very happy, glad to be here with you and also announcing another record high results for Aura. As we're going to go through the presentation I will say and I will share with the investors that Aura continues to progress in our growth project. We continue to generate a higher margin, we continue to pay strong dividends and we continue to build the portfolio in order for the growth to achieve over 450,000 ounces that we announced a couple of years ago. With Bluestone we can reach, we can go beyond this and we continue to monitor the market as well. So I'll ask Natasha to share the presentation and as always I'm going to give you the broad overview about the quarter results and then Kleber, our CFO is going to go more in the details about the EBITDA breach to free cash flow and also our net income. If you want to go to the first slide, yes, very well. So as we can see and we already shared with the market production, during Q1 we achieved the 60,000 ounces of gold equivalent production and that it's slightly lower than last quarter as the market knows and will be sharing for the last four years. Mining, especially mining in gold that you have variation, in grades you have variation on the mine that so that sometimes you have changes in production from one quarter to the other quarters. Last year we finished the year very strongly and now we very much in line with our projections, internal projections, we produced 60,000 ounces which is 9% below last quarter and 7% below Q1. Understanding then Apoena as we shared with the market later last year, we're going to go through the next, this year and next year, our investment phase. Although we will be producing and generating positive cash flows we consider this as an investment phase because we need to open the pit, we're going to have a lower production to achieve higher production after these two years. Nevertheless, we're also very happy to see the gold prices continue to increase and that helped us to achieve another record high EBITDA for the quarter with $81 million with the gold price at $2,786. Today it's close to $3,400 and now as we can see, we should progress production within the assets that is already producing Almas, Aranzazu, Minosa and Apoena and that we will add on the top of that during Q3 the production for commercial production for Borborema Q3 and Q4. So we should see along the next quarter the progress within our production while your gold price continues to evaluate and we maintain the cash cost very, very stable. I would also highlight that we, on the last 12 months, we reached an EBITDA with $295 million with the gold price only at $2,500. Again, gold price today is $3,400 and on top of that we have growth of production and Borborema coming in also with a lower cash cost. That EBITDA translated in a recurring free cash flow at $27 million. Kleber is going to go more in details. Net income, we had a net loss of $72 million. I remember last year I was once asked, well now that you're already market-to-market to your hedges, can we be comfortable that we will not have any more, any loss due to this market-to-market? And my answer was hopefully not. Hopefully we continue to have losses on our market-to-market hedging because that means that the gold price is significantly increasing and we are hedging a very small portion of our total production. So we have benefited significantly from the higher gold prices but the market-to-market affect the net income on the quarter that the gold price had a volatile. Kleber is going to go more in details on that but we are happy to see this net loss coming in because that means it came from fully a significant increase in gold price and gladly gold price continue to appreciate since the end of our last quarter. I would also highlight Borborema. We finished this construction of Borborema on the first quarter on time, on budget as we were disclosing to the market. We are successfully ramping up this project and we continue to project the commercial production for Q3 and I would recall that the investors that Borborema will bring a significant increase of production from 80,000 to 84,000 ounces in the first year with always sustaining cash costs below our average. So that will significantly boost our results from the second semester and then next year. And in terms of return to our shareholders, we also announced that we renewed our program, a buyback program. We continue to do the most we can respecting the regulation of the market and also respecting the blackout period but as we move forward, we see the company significantly underdeveloped so it's a good capital location to continue to buy our shares back. On the top of that, we also announced a dividend, $30 million for the quarter as a dividend that if you put that in perspective, it's at 11% of dividend yield in the last 12 months. Very, very few companies can provide those kind of levels of dividends together with the level of growth that we are presenting to the market and then we'll continue to grow and we'll continue to pay dividends. In this dividend, as we shared also, we are using the rule of 20% of EBITDA minus recurring CapEx as we also received the extra cash from the sake of Cerro Alto that was pending upon APM selling these to the buyer. We received an outstanding debt that they had with us, a $13.5 million so we included that to pay dividends showing our consistency and our commitment to the shareholders that we want to remunerate shareholders through the shares appreciation which grew over 200% in the last 12 months and also dividend yield and share buys back. So that sets Aura as one of the highest dividends, if not the highest dividend yield in the gold sector in the world. We also, during the quarter, we updated our 43-101 report so all the technical reports are now released by the end of March. We also could replenish resources so we are moving forward and extending the life of mine as we are also increasing production. And lastly, as we also disclosed and as we've been sharing with the market during last years, one of our points that we needed to address is daily trading volume. Our daily trading volume in the last year was $1 million, $1.5 million per day. That is very low if you want to bring significant investors and our objective is to significantly increase our daily trading volume and the U.S. market we believe can bring us the opportunity to increase our daily trading volume. So we filed this with SAC and now we will wait for them to react and as we are clear then we will move forward to the next phases. In terms of safety, again, super proud that Aura is setting new benchmarks in the world on mining industry with one single lost time incident and that was a very light incident during over two years where we were finishing construction of Almas, where we built Borborema and where we also are doing a lot of work within our operations. So one single lost time incident during these two years with all that's happening in Aura is something that we that work with Aura are very proud of and you as a shareholder should also be super proud of our benchmark setting, benchmarking the world for our safety standards. And on the geotechnical structures, again, we continue to monitor, we have third party, we have consultants independent that make reports in all our geotechnical structures are under satisfactory stability conditions. Well, as we can see, there is changes in part to part in terms of production that change from Q4 to Q1 was absolutely expected as you could see in the last three years Aura started with a weaker Q1 and Q2 and could increase production Q3 and Q4 and expected this same kind of movement during this year. And on the top of that, we will also increase production through Borborema. Next slide. In terms of all in sustaining cash costs, I would invite the investors also to take a look on this difference from Q4 to Q1’25, Q4 '24. You see this increase, but again, as I mentioned to you, in Apoena, we will go through an investment phase. We have to account to this all in sustaining cash costs, including the high cash costs because all the investment that we are doing in Apoena to expand the pit and to be able to increase production should be also accounted and we think they're all in sustaining cash costs. So, we increased this at the 1461, but that does not mean that our all in sustaining cash costs increases just because Apoena is under investment phase. If you take out the Apoena higher all in sustaining cash costs, we will be very stable compared to last year and this was very much in line with our projections and we keep and we maintain the all in sustaining cash cost guidance also for the year. As I mentioned, we built Borborema on time, on budget and without any single lost time incidents and we are now in the process of ramping up. Of course, all the ramp up has problems here and there, that's why it's called the ramp up. The team is very keen to adjust and fix everything that is showing. We are very glad and we should continue to successfully ramping up to declare commercial production on Q3 this year. So, with that, Kleber, I'll turn the floor to you.
Kleber Cardoso: Thanks, Rodrigo. Good morning, everyone. We'll start with a summary of the main financial KPIs for the reporting quarter, the last few quarters and in the dotted line here, we have accumulated for the last 12 months. Starting with net revenues, we are reporting $162 million in revenues on this quarter, a 6% reduction compared to the previous quarter, which is explained, as Rodrigo was explaining, by a lower production due to the minus sequencing, but partially offset by higher gold prices. When we see the last 12 months, we reached a new record high with net revenues accumulated at $624 million. When we move to adjust EBITDA, another two record highs, as Rodrigo already mentioned, for the third quarter in a row we have a record high EBITDA of $80 million. So, again, despite the lower production for this quarter, the gold prices helped and then we exceeded the previous quarter EBITDA. In our accumulated last 12 months, such as EBITDA, is reaching close now to $300 million. We closed the quarter with accumulated $295 million. When it comes to net income, we are reporting a net loss of $73 million, basically for the same reason we had losses in some quarters last year, because of a sharp increase in gold prices throughout the quarter and then the increase in the market-to-market liability and no cash losses related to the gold hedges. I'm going to go later in a few pages with more detail about that, but excluding that impact, we see that our adjusted net income was positive, $27 million for the quarter. And then moving to cash and net debt, we closed the cash position at $198 million at the end of the quarter. Our net debt increased to $272 million in the quarter, as expected. In this first quarter, we invested close to $40 million in the final phase of construction of Borborema. We acquired Bluestone, in which we paid close to $20 million in cash and received about $20 million in debt. And later I'm going to show in more detail, we had some higher income tax payments on the first quarter that's related most to the 2024 results. Despite those impacts, we'd like to highlight that we have been able to keep our net debt over EBITDA below one time throughout all this period that is shown here, despite the fact that we built Borborema in this period, acquired Bluestone and kept paying dividends and doing buybacks throughout all the periods. Now understanding the main items between adjusted EBITDA and net income for the quarter, when we look in the adjusted EBITDA by business units, we see it was another strong quarter at Minosa, Aranzazu, and Almas, all of them reporting over $22 million in EBITDA in the quarter. Even Apoena that we, as Rodrigo said, we knew and planned because it was going to be a more difficult year with lower production and higher costs, reported decent EBITDA at $13.5 million. Amortization depletion expenses came in as we expect and aligned with what we report usually. Then the main item, the financial expenses in $122 million in the quarter of which, as I mentioned, the main item by far was the non-realized losses and no cash losses for the quarter with the gold derivatives that was $100 million. And then when we did have some hedges that expires and were settled during the first quarter, but that impacted our P&L only $6 million as we indicated here as well. Income tax expenses of $21 million, that's pretty much related to the strong results of the operating business units, bringing them to a net loss of $73 million. But as we always present, when we exclude the items that have no cash impact, we come to a positive at just net income of $27 million. Now I'm going to go over quickly over two pages with a more detailed analysis on the impact of the gold derivatives. The first one is understanding the accounting impact in the MTM losses. That's, again, it's more provision, doesn't impact cash. And then in the other page, I'm going to show an analysis, more economic perspective, what to expect in terms of cash impacts of these gold derivatives. If you can go to the previous page. So here, what we show on the left side is a table with the closing gold prices for each of these reporting periods. As you can see, gold has been increasing almost every quarter since the third quarter of 2023. And then on the right side, we can see that there is a strong correlation between increasing gold prices and increasing the market-to-market liabilities. When gold prices increase faster, the liability increases faster. In one instance, when gold prices decrease toward the end of the year, the liability reduces. And fortunately, in this quarter, the gold prices increased the most, over $500, which then explains why increasing provision was the biggest for these periods. But then looking from what you expect from a cash flow perspective, here we demonstrate all outstanding gold collars that we have for the next few years. We see all our gold collars, they expire between Q2 2025 and the fiscal year of 2028. They are spread throughout these periods. And we bring here two references. The first reference is our production guidance for 2025, which does not include the Borborema producing full, for a full year, and does not include any of the new projects. And then we have a second reference, which is our long-term guidance to achieve 450,000 ounces of gold equivalent in terms of production. Then when we analyze the outstanding collars per year, in these references, we can see clearly that both our current and future production that is hedged, it's just a small portion of our current or projected production, which means that we do expect most of our production to be exposed to spot prices, both this year and the next couple of years. And then moving now to understand the change in the cash position throughout the quarter, here on the far left side of the page in red, we show the initial cash position of $270 million. In this left side of the page that we call just free cash flow to firm is the cash flow to firm that is generated by the four miners in production, not including what we invest in to grow the company. We see that portion of the business generates $28 million, despite the fact that we had some non-recurring throughout the year or temporary impacts, such as the income tax payments that I mentioned, that we usually, most of them we pay in the first quarter related to the 2024 results, which should not be repeating the same proportion for the next few quarters, and changes in working capital that also should partially be offsets in the next quarters. In the middle of the chart, we show the investment for growth was where we allocated most of our capital. We put $62 million in mostly expansion CapEx, the final phase of Borborema construction and the Bluestone acquisition, and then when we move to the right side, the more financial-like items, which we highlight the dividends and share buybacks we did until March, $20 million, bringing the cash to $198 million towards the end of the quarter. And now we end the presentation and open to questions. Thank you.
Operator: We are going to start the question and answer section for investors and analysts. [Operator Instructions] Our first question comes from Guilherme Nippes with XP. You can open your microphone.
Guilherme Nippes: Good morning, everyone. Can you hear me?
Rodrigo Barbosa: Yes.
Guilherme Nippes: Good morning, Rodrigo, Kleber, Natasha. Thanks for the opportunity and congratulations on another great quarter. I have two questions here on our side. So, the first one, we have always discussed about stock liquidity and now we have taken the first steps to our U.S. public offering. So, I would like to hear more about the next steps in this process. So, if you could share the expected timeline for completion and if you could also provide additional details on the offering as well. And my second question is about Almas. Costs have been very volatile and actually we're expecting a lower cash cost considering that you had the issues with the contractor during the first half of 2024. And as in the 4Q, you had very low cash costs. So, my question is, I would like to hear your thoughts on that. So, I remember that in Q4, the low cost was due to mine sequencing and the reduction of the strip ratio. So, just wanted to make sure that we understand correctly what happened here in Q1 compared to Q4. So, those are my two questions. Thank you.
Rodrigo Barbosa: Thank you, Guilherme. So, the first question you mentioned about the offering, as we filed already with SEC, I am very limited in terms of what I can share with the market. So, there's nothing much I can add on the top of what has already been published. On the second question on Almas, as I mentioned earlier, gold mines, the nature is not uniform everywhere. So, it varies in terms of grade, width, strip ratio and recoveries. So, as I mentioned last quarter with Almas, last quarter of 2024, it was very, very strong in terms of sustaining cash costs and we shared with the market we should not expect this to continue to happen. What I would invite you is to look on average, to look at the average all-in sustaining cash costs that we had in 2024 and then you can understand that after changing the contractors and increasing a little bit productivity, what could be the all-in sustaining cash costs for 2025 and we also set the guidance. I would just highlight that this all-in sustaining cash cost is very much in line with the guidance that we provided to the market. That's going to the variables, there's a few variables that are important in terms to build the all-in sustaining cash costs, right. The number one is grades, number two is recovery and number three is the strip ratio, right? Because the investment that you take, how much of a non-mineral you take out to access the mineral. So, that will vary according to the quarters. However, during along the year, it should follow one rationale and has lower volatility. It will change from one year to another but with significantly lower volatility.
Guilherme Nippes: That was very clear, thank you.
Operator: Our next question comes from Edgard Souza with Itau BBA.
Edgard Souza: Hi Rodrigo, hi Kleber, hi Natasha, congrats for the record results. For us, that are following our 6D re-IPO, we are very pleased to see the company delivering, growing and now improving liquidity and visibility with this new listing in the U.S. So, congrats for this initiative. So, my questions are related to the balance of this record gold prices and your growth projects. We are seeing gold prices reaching record high levels which might stimulate new projects. In that sense, my first question is related to Bluestone. So, how are the negotiations with the government for the licensing of the project? Do you see any changes in the local government positioning regarding the licensing? Maybe this higher gold prices could help there? And still on the growth projects regarding Matupa, we understand that the final decision on the project will depend on how do you unlock Bluestone. But that said, given these record high levels for gold prices, are you evaluating maybe bringing Matupa before Bluestone and starting with the project? And then my last question regarding potential M&As. Gold prices has reached record high levels but copper prices now declined a little bit. I remember that we discussed a few times the lack of availability of copper projects for M&A. But now with gold prices reaching these record high levels, does anything change here? Maybe are there any opportunities in copper rather than in gold for potential M&As? That's it. Thank you.
Rodrigo Barbosa: Thank you, Edgard. So, going to the first question on the Bluestone in Guatemala, I think what we've been seeing is not a change in the mood because of the higher gold prices from the government and the communities. They don't really understand and see that. But on the other hand, the whole new administration in the U.S. and the expropriation and the cease of immigration from those countries to the United States, for example, numbers that either Honduras, Guatemala, 60, 70, sometimes 70% of the total export that the reserves come from people working in the U.S. sending money to the country. And that is significantly reducing since Trump's administration should expect to continue to reduce along the next year. So, now we see a switch, a slightly switch on the minds of governments trying to find solutions within the country to create more jobs and to generate export revenues to bring extra dollars and compensate also this non-immigration to the United States process. We also see some community members that was leaving the United States coming back to the area where we have the project, trying to find new opportunities for jobs. So, we understand that all that changes is giving us more tailwinds in order to expedite the licensing of this project. I would highlight that this project as an underground is fully licensed already in terms of environmental and also with the government. But we understand that before making any kind of decisions, we need to socialize either with the central government and also with the communities, which we are doing as we speak. And in the meanwhile, we are also updating the feasibility study. We are updating the investment designs, the new mine sections and so on. So, as we have more information to share the market, we will update as we can. I suppose since it was published, there was inflation, but in the other that might affect the CapEx. On the other hand, the gold prices is coming from 1800, 2000 to 3400. So, that can boost significantly also the returns of the project. And that would also address the situation with Matupa. Is this, again, we believe we will be more mature to make any decision between end of second quarter, early third quarter or within the third quarter to really decide which way to go. We are putting, we are delaying a little bit the Matupa because the magnitude of the results, the magnitude of the production and the EBITDA that we believe the Cerro Blanco Bluestone can generate a significant higher. Although Matupa is a very strong project, the Cerro Blanco could be more meaningful. So, if we believe that we can start the construction of Bluestone late this year or early next year, we would probably make that decision and prioritize Bluestone and then push Matupa to build by mid-construction of Bluestone or by the end of construction. Well, the construction of the Bluestone, it will be more technical. It's in a country that we don't have operations. It's a country that doesn't have all the expertise of mining, such as Brazil. So, we will be more careful in the construction of Bluestone and we don't want to do a lot of things at the same time. But we will analyze. If we believe that we can delay one year and we can mix by the end, we will try to do so that we can push more production from Matupa and speed up of growth. And then you had the second question was?
Edgard Souza: Was regarding the M&As for copper versus gold.
Rodrigo Barbosa: Yes, it's interesting that we saw this run gold prices and I would invite investors to take a look. The major companies have been appreciated according to the gold price. Medium-sized companies, such as us, has appreciated but yet has not followed the right appreciation that we should have gone with this higher gold price. The market is not at all pricing in gold price or even 3000. The market's pricing lower than these in our shares and not pricing the growth. So, and for the junior mining, it's even worse. Although gold price is reaching record high, we don't see us -- we saw some appreciation in junior mining, but not significant because those companies doesn't have the cash generation, cannot, doesn't have the fund capacity for those projects. And they will go through a lot of dilutions in order to fund the project. So, we continue to monitor, of course, that significant increase can affect because expectations sometimes change from sellers and buyers. It creates a little bit of challenge. The best case for M&As is when gold price is more stable, but that doesn't mean that it doesn't have, there's no opportunity. So, we continue to monitor gold mines. The gold industry is very, very segmented, very fragmented. So, there are a lot of producers that is not on the radar of many other investors or many other companies that we can access and we do, such as we did with Borborema. Nobody really knew about that project and we could acquire an increase and even also a blue stone. On copper, yes, we continue to monitor. We like both, right. We are growing on gold. So, we would like to have copper also growing to at least maintain the percentage of 30, 35%. That's one of the reasons that we are investing in Serra da Estrela, but that is more a medium to long shot. We are continuing to monitor other opportunities in copper, but we'll see. It has much less projects in copper available for any kind of M&A and normally they are bigger than gold, but we are growing and we will continue to monitor.
Edgard Souza: Thank you. Thank you.
Operator: Our next question comes from Ricardo Monegaglia with Safra. You can open your microphone.
Ricardo Monegaglia: Good morning, everyone. Thank you for taking my questions and congrats on the results and the first steps on a U.S. listing. There are obvious benefits of listing in the U.S., but not necessarily related to that. I wonder if you have specific liquidity and unlocked assets under management metrics or targets that you could share with us. Maybe a liquidity based on free float would be interesting to hear from you guys. And Rodrigo, a lot has been mentioned on gold prices. We have a lot of volatility in the past couple of years, if you may say. But I wonder if you could share your view on gold prices today and going forward. So do you see structural drivers that are different from recent past, maybe on demand, investor behavior, central bank activity that could sustain gold prices above $3,000 or even more, maybe $4,000? Do you think it's a reality that we may see in the coming months or maybe years? Thank you.
Rodrigo Barbosa: Thank you. So, the first one in terms of the liquidity metrics, what is important for the investors is shares available to buy and the price of the shares. That's it. The investors are concerned about daily trading volume. How much, how fast can I invest $50 million? How fast can I divest $50 million in the market? That is independent of the percentage of the free float. It's totally dependent on the shares available for trade, which is the free float, right. But not as a percentage, but as a nominal and the share price. So the value in dollars that is available to be traded per day is the most important variable for the investors to make a decision either to invest and also to divest. And that's the main variable that we would like to address. In terms of gold prices, as I gave an interview to Estado de São Paulo this morning, I think we have a structural tectonic movement that is happening and moving the gold price up. And I would invite the investors to take a look on those movements. If you believe that those movements are reversible, then maybe gold price can decrease. But if those movements are not reversible, then we should continue to see the gold price to appreciate. Number one is the United States weaponized the U.S. dollars after the war, Russia and Ukraine. The world confiscated and blocked over $300 billion of reserves in U.S. dollars from Russia. And that is the message for any other country that perhaps doesn't feel aligned with the United States. They do not want any more to be invested in U.S. dollars. So take a look on China that has historically over a decade invested in treasuries with a surplus of exports minus exports and has a significant investment in U.S. dollars. They are not investing in U.S. dollars anymore. They are divesting and they are looking for other alternatives to invest the surplus. And gold is one strong alternative for them. Number two, the second variable, I will be limited to only these two, but have many others, is structurally also the United States is running significant deficit over already a high debt to GDP. The country is running $2 trillion last year. Some analysts say that perhaps this year with the increase interest rate is going to be $2.5 trillion, if not $3 trillion. And that's absolutely unsustainable for the medium to long term. There are some initiatives like the DODGE with Elon Musk to try to reduce, but yet this is not yet meaningful for the United States to address this deficit and to fund the deficit needs to issue more debt or to print money. And that has an impact on the value of the dollar. And that can also push the gold price up. And today I also read with Otavio Costa that also participate in already, and he's also seen some signs that perhaps even the United States, it's increasing the gold reserves, of course, undisclosed. That's his thoughts that Russia is buying gold. China is buying gold. Turkey is buying gold. And perhaps even the United States is buying gold. So to restore confidence in the U.S. dollar. So my view, I don't see any reversal of that trend. Some investors think or question that all these gold prices because of the tariff fights. And once they settle, the gold price is going to go down. I don't think the gold price increase, in my view, is not related to the tariff fight. The tariff fight is just crystallizing what has been happening along the last year. So the world will find a solution. This tariff fight, the tariff war is going to settle down. The world house is going to settle down with the war, hopefully with Ukraine and Russia. But the fiscal deficit is not being addressed with a meaningful way. And the weaponized of the dollars cannot be reversed. We don't see China selling gold and buy U.S. dollars.
Ricardo Monegaglia: That's clear. So is there a sweet spot that we can expect on traded volume in dollars that we could envision in the future after all goes in the right direction?
Rodrigo Barbosa: There's not much I can say right now.
Ricardo Monegaglia: Oh, that's Okay. Thank you, Rodrigo.
Operator: Our next question comes from Rabi Nizami with National Bank of Canada Financial Markets.
Rodrigo Barbosa: Rabi, I think you might be with the microphone not open.
Rabi Nizami: Thank you for taking my call. And congratulations. Great to see you just hitting larger and larger numbers every year and all time high right now. So just a couple of questions for you, maybe some things to address already. With Aranzazu, there has been some lower throughput and processing recoveries lately. So what kind of measures are you taking to offset that? And what kind of timeline are you looking at for improvement? I know you mentioned molybdenum circuit in the past. Do you have anything new to discuss on that?
Rodrigo Barbosa: No, in Aranzazu, you finished your question or have others?
Rabi Nizami: I have other questions. You want me to ask them all right now?
Rodrigo Barbosa: Okay. So Aranzazu, we are entering in an area of the mind that it's more difficult and has this impact on slightly lower grades. The recoveries this quarter was mostly affected because we are installing flotation cells to recover molybdenum. We saw some molybdenum also coming in our concentrate. And the team was very keen and fast to, within less than a year, implement a project to install some additional flotation cells in order to recover molybdenum and also sell this molybdenum. And these lower recoveries that we had this quarter is due to the adjustment of the flotation cells in order to have the molybdenum as well. So we should stabilize this process and then improve our recoveries along the next quarter. Nevertheless, structurally on Aranzazu, we will see a lower grade compared to what we mined in the last four years.
Rabi Nizami: So in terms of metal mix, how significant is the molybdenum as a fraction of revenue?
Rodrigo Barbosa: I didn't hear your question, Rabi.
Rabi Nizami: What is the significance of molybdenum in terms of proportion in your revenue for Aranzazu?
Rodrigo Barbosa: The molybdenum, it can potentially generate $6 million to $10 million of sales.
Rabi Nizami: Got it, thank you. Moving on to Borborema, construction is going really well on time on budget. Are you tracking all the guidance? Could you give us a bit of resolution on the rate of ramp-up as we move from Q2 and into Q3 and Q4? And when would you expect to hit 100% capacity of that asset?
Rodrigo Barbosa: The ramp-up is running according to our, as we projected. And we should, we continue to share the market that the commercial production, which is not 100%, commercial production is something around above 80-85% for constant days. We should reach that during the third quarter.
Rabi Nizami: Okay. And then in the past, as you finished up construction of Almas, for example, you were able to then move on to Borborema just immediately, and presumably you used some of the same teams on both assets. So do you have a view towards keeping that team busy past Borborema and maybe tying another question into that? Do you have a view on the right number of mines that you would like to have operating concurrently in your portfolio? I understand in the past that you've added mines, you've built mines, and you've also divested mines. So how are you thinking about the correct size of your operating mine portfolio?
Rodrigo Barbosa: Yes, I think keeping the team busy, I think it goes in both directions. I keep them busy and they keep me busy because they build those mines so fast that they push me towards looking for new M&As faster than I thought. But yes, I think you're right. The know-how that we built in Almas now, implementing Borborema, is the same team. And the idea is the same team is already involved already on the design and feasibility study for Matupá and also Guatemala. The team already visited both projects and we will decide which will go first. But we'll be the same team that will build Bluestone and also Matupá. That's why we probably don't want yet to build both at the same time because we will need if we... Matupá it's easier to build, it's something that we already done in Borborema, in Almas, and we have the know-how, the suppliers, I know the whole ecosystem is in Brazil. In Guatemala it's different, we need to pay a lot of attention so we will make sure that we'll play very safe building Borborema, Bluestone. Although it's a smaller plant, but technically it can have challenges that we need to address and also be 100% focused. So we will decide by the end of Q2 or maybe during Q3 which way to go, but it will be the same team.
Rabi Nizami: Thank you for answering my questions. That's good to hear. Building some expertise in-house will be a very good thing going forward. If I can just ask one more before I sign off. On Borborema, the road relocation has been quite topical. Of course you'll tell us when it's completed, but for now could you tell us once you have the permits to relocate the road, how quickly could you implement that into a plan for expanding Borborema? And that's my last question. Thank you very much.
Rodrigo Barbosa: So just wrapping up the last question that you also asked that I didn't answer about the numbers of assets that we believe we can have in a portfolio. Normally major companies, the rule of thumb is six to eight assets. More than that can create complexity, but structurally and our government has designed a decentralized decision-making process empowering the minds so that corporate pays attention to capital allocation and human development and of course setting the whole culture. But with that culture we believe we can go beyond eight assets, maybe eight to ten, but there will be a limit. Now I believe eight to ten will create the complexity for us to manage them properly. And then after that, start recycling. Start going towards higher minds, bigger minds, and then also divesting from the small ones. So that's why I believe it's very important for the investors to pay attention. Now we have a very fast growth and as we grow and start to become over a million ounces per dose of 1.5, that will be harder to accelerate. It'll be harder to maintain this kind of growth and this kind of returns that we are having in smaller projects because the world is fighting too much for super big projects. And then the road allocation, we are progressing a lot of back and forth with the National Agency for Transportation. I believe that we can have the project approved in Q2, perhaps a little bit delayed to Q3. The government is overwhelmed with a lot of projects and work and small budgets to address them, but we are progressing. And after we have the license, we can immediately update the feasibility study and declare the new reserves. And after we do that, then we need to go through two things, the construction of the new road, buying the lands or expropriating the lands and building the new road and also expanding the capacity of Borborema. And we believe we can do that in 2 or 2.5 years after we have the license. We can actually do much better than this, but the bottleneck will be the whole process of getting the land, buying, expropriating and building the road.
Operator: Okay, our next question comes from Marcelo Arazi with BTG. You can open your microphone.
Marcelo Arazi: Good morning, guys. Two questions on my side as well. Can we expect dividends to remain elevated at these high levels even during more CapEx intensive cycles? And on a second question as well, we also noticed a slight increase in leverage this quarter. What levels of leverage are you comfortable with maintaining going forward? Could we see Aura sustaining higher leverage in order to keep dividends high? Thank you.
Rodrigo Barbosa: So dividends, we continue to share that we would, our idea is to continue to pay the 20% of EBITDA minus recurring CapEx as we are growing and as gold price continues to appreciate as we maintain the cost at the same level reduced. So we should see EBITDA going up and then proportionally the dividends also can follow this movement. Exception was this quarter that we paid extra due to the receivables of Serra [ph], but then for the next quarter, the 20% of EBITDA minus recurring CapEx and we've been actually paying a little slightly above that along the next year. That's what we should expect for the company. In terms of leverage, we had this slightly increase during this quarter, mostly because of two transactions. One, we finished the construction of Borborema. So we had all the expenses of Borborema and not yet we don't have the EBITDA, right? So during the second semester, we'll see this deleveraging process because then we don't have invest in Borborema anymore and then we have the EBITDA. And the second one is the acquisition of Bluestone. Either the cash we paid, but also the debt that comes with the project that also impact our leverage, but nothing that is take us from the comfortable zone. On terms of leverage, we are super comfortable at 1.5 times EBITDA. 2 times EBITDA could be acceptable on the process of we finish the construction of something and we see that the leverage very fast or you do some acquisition and you'll see that the leverage fast. So that's where we would like to maintain our net debt EBITDA.
Marcelo Arazi: Thank you. If I can ask another one. On Guatemala, is there any timing that you could share even regarding some financial details in order for us to model the project?
Rodrigo Barbosa: Yeah, we should do. We expect to do one PEA that will not fully optimize mine sequencing some process by June, but at least we can provide the market what we expect to be the CapEx and the cash flow and returns, not including some optimizations. And then we are doing additional work to go through the feasibility study by early next year, perhaps late this year. And that full feasibility study will also include mine sequencing optimizations in the project that we believe that will be -- can boost even more other results.
Marcelo Arazi: Perfect. Thank you, Rodrigo.
Operator: The Q&A section is over. We would like to hand the floor back to Mr. Rodrigo Barbosa for the company's final remarks.
Rodrigo Barbosa: Well, thank you again all for the earnings call. Again, we are super proud for the results. And I would just give a brief overview. And then for those that doesn't follow our story and has entered recently, we are walking the talk since 2020. And when we did our re-IPO and the issues of BDRs in Brazil, we told the market that we would generate value in three variables. We would develop our greenfield projects. We would increase our resource and reserves. And we would also continue to grow through M&As. And we would do all these three while we would be able to pay significant dividends. If you look back and what where we are right now, what we've done, it's significant progress since then. We built Almas on time, on budget. We acquired the Borborema. We updated the feasibility study. We built the Borborema. We acquired the Bluestone. We increased production. We increased resource and reserves. And also we provided one of the highest dividend yield in the world in the gold sector to our shareholders. So we are walking the talk. We're delivering significant results. And as I mentioned, we are right in the beginning because right now we are at closer 270. Our guidance is 260,000 to 300,000 ounces after we reach 500,000, 600,000 ounces. And we also address this daily trading volume that we believe that we can significantly provide higher returns for our shareholders. So walking the talk, we are happy to be here and all of that with a very, very high standard of safety in our operations. So I thank you all and I will keep the market informed as we progress in our news and in the upcoming future.
Operator: Thank you. Aura's conference is now closed. We thank you for your participation and wish you a nice day.